Operator: Good morning, my name is Christy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Madison Square Garden Company Fiscal 2017 Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question and answer session [Operator Instructions]. Thank you, I would now like to turn the call over to Ari Danes, Senior Vice President of Investors Relations for the Madison Square Garden Company. Please go ahead, sir.
Ari Danes: Thanks Christy, good morning and welcome to the Madison Square Garden Company's fiscal 2017 fourth quarter and year-end earnings conference call. Our President and CEO, Doc O'Connor will begin this morning's call with a discussion of the Company's operations. This will be followed by a review of our financial results with Donna Coleman, our EVP and Chief Financial Officer. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available in the Investors section of our corporate website. Please take note of the following. Today's discussion may contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties. And that actual results, developments and events may differ materially from those in the forward-looking statements as a result of various factors. These include financial community perceptions of the Company and its business, operations, financial condition and the industry in which it operates, as well as the factors described in the Company's filings with the Securities and Exchange Commission, including the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations, contained therein. The Company disclaims any obligation to update any forward-looking statements that may be discussed during this call. Lastly, on page four of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating incomes, non-GAAP financial measure. I would like now introduce Doc O'Connor, President and CEO of the Madison Square Garden Company.
Doc O'Connor: Thank you, Ari, and good morning everyone. With our second year as a standalone public company now behind us, we are increasingly confident that our position as a pure play provider of live sports and entertainment, uniquely positions us to create significant long term value for our shareholders. From a financial standpoint, we generated strong underlying results for fiscal 2017, a reflection of our continued ability to deliver exceptional live experiences for our customers and our partners. The strong fundamentals of our business and industry combined with our ongoing efforts to more efficiently and effectively harness the strength of our sports and entertainment assets, also help drive a number of operational successes in fiscal 2017. As we've talked about this year, improving the utilization of our venues by attracting more premium events is a top priority than in addition to increasing profitability, also enhances the value we provide our customers, marketing partners and suite holders. For fiscal 2017, we again achieved our goal of increasing the overall number of events at our venues, which led to growth in event related revenue and AOI, highlighted by impressive results at the forum as well as continued growth at the Garden, Radio City Music Hall and the Theater at Madison Square Garden. These results reflect our emphasis on increasing multi-night and multi-venue concerts, as well as our ongoing push to attract the wide variety of premium events, including the most popular family shows, marquee sporting attractions and special events. Some of this year's past highlights include; Adele's unforgettable six nights sold out run at Madison Square Garden, which also played host to the MTV Video Music Awards for the first time ever; our continued successful residencies, Billy Joel at the Garden and Jerry Seinfeld at the Beacon; The Tony Awards returned to the great stage at Radio City Music Hall; The League of Legends World Championship Series, which we hosted for four sold-out nights at the Chicago Theater, followed by two sold out nights at the Garden; the first ever UFC event in New York State, which took place at world's most famous arena and became the highest grossing single night event in the venue's history; and the prestigious NCA Basketball East Regional Final, which returned to MSG for the second time in four years. Looking ahead to fiscal 2018, we will continue to utilize the strength of our venues, markets and operational expertise to build on our booking success and have already attracted a number of noteworthy events; multi-night highlights includes Phish, who just last week completed the Baker's Dozen, a 13 night run at Madison Square Garden. At Radio City, we are in the midst of an equally impressive 16 show run by Dave Chappelle, is setting new record for the longest run by a comedian at the Legendary Theatre. On the multi-venue front Harry Styles will perform at five of our seven venues over the next 12 months. In addition, over the coming months, the garden and the forum will both welcome Arcade Fire, and Bruno Mars, as well as legendary rock band, Guns N' Roses who will play these venues as part of the bands’ top grossing not in this lifetime tour. We’ve also continued to push to bring marquee events to our venues and look forward at the end of this month to hosting the MTV Video Music Awards for the second consecutive year this time at forum. And in January 2018, music's biggest night will return to MSG and New York for the first time in 14 years, as the world's most famous arena hose, the 16th Annual Grammy Awards. This past fiscal year, we also made important progress in expanding our portfolio of premium live experiences with two acquisitions. The first was our purchase of a controlling stake in Boston Calling Events, which is past Memorial Day weekend held at the Annual Boston Calling Music Festival at the Harvard Athletic Complex, a new location that significantly expanded the festival’s capacity and content offerings. The event was a success as Boston Calling made its transition to a major music festival. Welcoming tens of thousands of music fans, the festival delivered strong attendance and sell-through, strong ticket and F&B per caps and terrific sponsorship results. As this year, our marketing partnerships group, worked hand-in-hand with the festival to expand its roaster of sponsors. We’re proud of what we were able to accomplish with this year’s festival, both financially and creatively. We look forward to elevating this great event to an even higher level in fiscal 2018, and are also exploring additional growth opportunities with our new partners at Boston Calling. Another key investment for the company this past year was our acquisition of a majority interest in TAO Group. As we previously discussed, we believe the company has meaningful growth potential as it expands its venue portfolio, both domestically and internationally. We spoke on our last call about TAO Group entering Los Angeles market with four new impressive venues, Tao, Avenue, Beauty and Essex and Luchini Pizzeria & Bar, which all open to rave reviews. Last month, TAO Group added the highlight room at the dream Hollywood Hotel, completing this five venue Hollywood Complex and creating LA's biggest nightlife destination. Looking ahead, TAO Group will also be part of the soon to open MOXY Times Square, offering a number of entertainment dining and nightlife experiences throughout the hotel, including one of New York's largest all season hotel rooftop lounges. We’re also eagerly anticipating the opening of TAO Group’s second international venue as the company continues to make progress on its plans to bring one of its most popular and successful brands, Lavo, to Singapore. This restaurant, lounge and nightclub will be located on the iconic rooftop of the Marina Bay Sands’ hotel. We look forward to sharing more in the months ahead. In addition to TAO Group’s venue expansion plans, we're also increasingly optimistic about the way MSG and TAO Group are working together to drive incremental growth in our respective businesses and the real inherent value, and the ability to cross promote the premium assets and brands of both companies. This is particularly compelling due to the significant and growing market overlap between our two companies. From a bookings perspective, TAO Group is now part of our dialog with artist when they play our New York and Los Angeles venues as a potential post-event destination. And from a sales perspective, our discussions with companies regarding corporate hospitality now range from tickets and suites to venue rentals and entertainment dining and night life options through TAO Group. We’re also making progress on our venue expansion strategy. This includes our plans to bring a state-of-the-art venue to Las Vegas, as well as our continued exploration of other key markets where we think our music and entertainment focused venue strategy can be successful. We expect to have more to share in the coming months. On the productions front later this morning, we're hosting our Annual Christmas and August event, kicking off our promotion of the Christmas Spectacular starring the Radio City Rockettes, which last season achieved record revenue; thanks to changes we made across the board to how we operate, market, and sell the show. This upcoming season marks the 85th year of this beloved production, and we look forward to another successful holiday run. The popularity of the Christmas Spectacular reinforces for us that we posses valuable brands in the Rockettes, a world renowned precision dance team and Radio City Musical Hall, a legendary theater featuring the world's largest proscenium stage. We’re now taking a look at how we can leverage these brands in a fundamentally different way outside of our core Christmas Spectacular franchise. One option we’re exploring is a streamline production that can be nimble and flexible in terms of how and when it plays, furthering our objective of maximizing the utilizing of our venues by enabling us to run this show around other live events at Radio City throughout the year. In light of this shift in focus with regard to the New York Spectacular, we concluded that a write-off was necessary. We’ll share more about our future plans as they develop. Turning to our sports franchise; newly named President Steve Mills and General Manager Scott Perry along with the head coach Jeff Hornacek, lead the next into the upcoming season with an emphasis on building around the key pillars of youth, athleticism, team work and defense. Qualities which are exemplified in young star, Kristaps Porzingis, free agent signee, Tim Hardaway Jr., Billy Hernangómez and first round draft choice, Frank Ntilikina. The rangers have also had a productive off season, signing defenseman Kevin Shattenkirk, resigning Brendan Smith and Mika Zibaneja and making a trade to acquire the seventh overall pick in the NHL entry draft in order to select forward Lias Andersson. And the Liberty are entering the home stretch of their 2017 season lead by perennial all star Tina James and Sugar Rodgers, the team is approaching the end of regular season and seeking a third consecutive year in the WNBA playoffs. In fiscal 2017, our sports segment realized growth across all of its key revenue lines, including a significant overall increase in media rights revenue, which going forward, will continue to represent a significant predictable and growing source of revenue for the Company. This past year, we also successfully executed our new Knicks and Rangers ticketing policies, driving a substantial change in the mix of ticket product sold, including fewer full season packages and more partial plans, as well as individual and group tickets; all, while our teams continue to play to at or near capacity crowds at The Garden. For the 2017-18 seasons, we are already seeing strong renewal rates for season tickets. And while these tickets still represent the majority of sales, we are continuing our strategy of thoughtfully increasing the sale of smaller ticket packages, which should continue to positively impact revenues while enabling us to further broaden our fan base. With respect to marketing partnerships, fiscal 2017 represented another year of record revenue, reflecting the meaningful value we offer our partners across our portfolio of sports and entertainment assets and brands. During the year, we successfully reached new and expanded multi-year agreements with two of our signature marketing partners, Lexus and Anheuser-Busch. The renewal process for our marquee and signature partners will continue over the next several years on a staggered basis, and we’re pleased to share that we are nearing renewals with two additional signature partners, as well as with other significant sponsors and hope to have more to say in the coming months. Similarly, we also continue to make progress on new agreements for those events Lexus and signature level suite products that come up for renewal in fiscal 2018. At this stage, we have reached new agreements with solid built-in annual escalators for most of the suites up for renewal this fall. Similar to our ticketing strategy for the Knicks and Rangers, we will also explore thoughtfully and modestly increasing the number of suites licensed on a partial year basis with the goal of enhancing suite revenue growth and broadening our customer base. And finally, we talked earlier about the efforts we’ve made to expand our live experiences with opportunities that offer strong growth potential and fit with our core competencies. In addition to the acquisitions we’ve had in our entertainment segment, two weeks ago, we announced an exciting addition to our sports offering as MSG acquired a controlling interest and Counter Logic Gaming, a leading North American esports organization with championship teams. This includes one of the original and most dominant teams in League of Legends, the industry’s most popular game. Over the last several years, we have witnessed the power and passion of esports first-hand, hosting several major events across our venues, including the 2015 North American League of Legends Championship Series summer final at The Garden. The sold out event was a first for the world’s most famous arena and a sign that esports was ready to commence sport’s biggest stage. We’re now thrilled to be taking this next step with CLG, took home a championship on historic night. CLG is one of the most established and successful organizations in the industry, operating eight teams across several well-known esports games, including League of Legends, Counter Strike Global Offensive and Super Smash Brothers. Led by George Eliadis, a former top League of Legends competitor, who remains one of the sport's most renowned global figures, CLG has built a proven track record of success over the last five years. We look forward to utilizing our experience in sports team business operations, including in marketing partnerships, media rights, event operations, ticketing and merchandise to help CLG build on its tremendous success and to play an active role in the development of this exciting industry. In summary, we're pleased with our execution in fiscal 2017, which translated into terrific underlying growth across our core operations and the successful first steps in expanding our live experience offerings. As we look forward, we remain confident that the Company is well positioned to drive attractive long term growth and asset value creation for our shareholders. With that, I will now turn the call over to Donna who will take you through our financial results.
Donna Coleman: Thank you, Doc and good morning everyone. I'd like to start by touching on our full year results. On a reported basis for fiscal 2017, Company generated over $1.3 billion in revenue and $97.6 million in adjusted operating income. Please note that fiscal 2017 revenues include $30.5 million in non-recurring NHL and NBA distributions, while fiscal 2017 AOI was impacted by the same non-recurring distribution, as well as $42.3 million in net provision for team personnel transaction and $33.6 million non-cash write-off of the remaining deferred production cost for the New York Spectacular. The remainder of my comments will primarily be focused on our fourth quarter results as compared to the prior year period. For the fiscal 2017 fourth quarter, the Company generated $305.6 million in revenue, an increase of 40% and an adjusted operating loss of $43.6 million. Results this quarter include the impact of TAO Group and Boston Calling Events as a result of our investment in both companies; $15 million in non-recurring NHL and NBA distribution; $35.2 million in net provisions for team personnel transactions; and the $33.6 million non-cash write-off. Turning to our business segments. At MSG Entertainment, fourth quarter revenues were $125.9 million, an increase of 50%. The increase was primarily due to the inclusion of operating results for TAO Group and Boston Calling Events. This was partially offset by lower overall event related revenues at the Company's venues and lower revenues for the New York Spectacular Production, which did not run in the current year quarter. With respect to TAO Group, I would remind you that the Company's results are reported on a three month lag basis, with our fourth quarter financial results reflecting TAO Group's operating results for the 7.5 week period from February 1st to March 26, 2017, as the transaction closed on January 31, 2017. Furthermore, please also note that the calendar first and third quarters are seasonally lighter quarters for TAO Group as compared to its calendar second and fourth quarter. Event related revenues at the Company’s venue decreased in the fourth quarter, primarily as a result of fewer shows at the Garden, the Beacon Theater and the Chicago Theatre, offset by higher revenues at Radio City Music Hall, result of a change in the mix of events at the venue, as well as additional events. However, as Doc noted earlier, our entertainment bookings business delivered a strong year with increases in the overall number of events at our venues, leading to robust growth in event related revenues and contribution for the full year. MSG entertainment’s fiscal 2017 fourth quarter adjusted operating loss of $39.2 million increased by $26 million. Excluding the $33.6 million New York Spectacular write-offs, MSG entertainment’s fourth quarter adjusted operating loss would have been $5.5 million, an improvement of $7.7 million versus the prior year quarter. This improvement primarily reflects a lower operating loss for the New York Spectacular as a result of the show not running in the current year quarter and to a lesser extent the inclusion of operating results for TAO Group and Boston Calling Events. This was partially offset by lower overall event related contribution from our venues and higher SG&A expense. At MSG sports, fourth quarter revenues were $179.6 million, an increase of 35%. The increase was due to higher league distributions, play-off related revenues and to a lesser extent, higher sponsorship and signage revenues and media right fees from MSG network, partially offset by lower event related revenues from other live sporting events and other net decreases. The increase in league distributions primarily reflects $15 million in non-recurring NHL and NBA distribution and to a lesser extent, the impact of the NBA’s new national media rights agreement. The increase in play-off related revenues was primarily due to additional home play-off games as compared to the prior year period. Rangers played in six home play-off games this year as the team advanced to second round of the play-off versus two games in the year ago quarter. MSG sports fourth quarter adjusted operating income was $14.5 million, a decrease of $3.9 million on a year-over-year basis. The decrease was due to operating expense growth outpacing the increase in revenue. The primary factor behind the increase in operating expenses was the $35.2 million in net provisions for team personnel transaction recorded in the current year quarter, reflected in both direct operating and SG&A expenses. This was the impact of severance related cost associated with the separation agreement with the team executives. Other adjusted operating loss of $18.9 million improved slightly versus the prior year period, primarily reflects the absence of $6.9 million reorganization charge recorded in the fiscal 2016 fourth quarter, offset by higher employee compensation and related benefits and other net increases. Lastly, I would point out that starting with our fiscal 2017 fourth quarter, we’re now disclosing the expense impact of purchased accounting adjustments. While these amounts are included in total company operating income results, they are excluded from the calculation of AOI. For the fourth quarter, purchase accounting adjustments totaled nearly $12 million; now $9.5 million in direct operating expense, and reflect expenses related to the increased valuation of TOA Group’s inventory and leases with the remaining $2.5 million depreciation and amortization expense; the full amount of the purchase accounting adjustment related to the inventory step up was expensed in the quarter. Turning to our balance sheet. As of the June 30th, total unrestricted cash and cash equivalents was approximately $1.2 billion. In addition, there have been no borrowings made under either our $150 million New York Rangers revolving credit facility or our $215 million New York Knicks credit facility; reminder, there also remains outstanding in $110 million five year term loan at the TAO Group level. In terms of the Company's share repurchase program, we did not repurchase share during the fourth quarter. Total repurchases under our current authorization stand at just over $1.5 million shares for approximately $254 million at an average price of about $168 per share. This amount represents 6% of total shares outstanding as of our spin day. With that, I will now turn the call back over to Ari.
Ari Danes: Thank you, Donna. Christy, can we open up the call for questions.
Operator: [Operator Instructions] And your first question comes from Brandon Ross with BTIG.
Brandon Ross: Couple of topics first on venue expansion. Given your ongoing issues with AEG and the importance of bundling in LA, how strategic is London to you since the O2 is the real leverage point there? And how do you see the opportunity for competitive arena in London in general. And then second topic also your group has now been around for a year, nobody really talks about it. Can you talk a little bit about the larger opportunity there? And I think one of the most interesting pieces of that venture is the alliance of the 27 arenas that you have. What benefits have you seen from that, and what additional ones do you see down the road? I know that’s lot. Thanks.
Doc O'Connor: Well, starting with venue expansion in London. First of all, I'm not going to comment on this call about AEG. I will say that we will continue to explore select markets where we think we can replicate success we've had with the forum and an entertainment only venue. Vegas is the first market we've announced, and we are deep in the design process with Vegas. But we continue to explore other key entertainment markets, both domestically and internationally, where we think a large scale music and entertainment focus venue can be successful. London is one of the biggest entertainment marketplaces in the world, and it would most certainly be an important marketplace for us to be looking at; and an important part and piece of a strategic plan, but that’s all I’ll say on that. To your point about the opportunity in London, as I said, it's one of the biggest entertainment marketplaces in the world. So yes, it is part of our focus. Turning onto your question about OVG. First of all, OVG is led by Tim Leiweke who is as capable and talented an executive in the greater entertainment space and specifically, the arena and live entertainment space, as we’ve ever known. So to have an affiliate company that’s led by such a dynamic executive is advantages in its own right. Specifically, the benefits -- the arena alliance is basically an affiliated group of leading facilities across the nation. And it leverages the combined assets and expertise of its members to develop best-in-class practices for the arena industry, and we benefit directly from that. We benefit in terms of advice and assistance across all best practices ticketing strategies; premium seeding and hospitality strategies, how to operate better securities issues, media rights. All of these things, the collective expertise of this alliance bring a lot of expertise to bear that we benefit from. One specific benefit was they created a Wal-Mart partnership across the alliance that we benefited from that we otherwise might not have. So we think that OVG is an incredibly interesting and evolving company that we get real advantages from our affiliation.
Operator: Your next question is from Brian Goldberg of Bank of America.
Brian Goldberg: I’ve got couple of. I’ll start off with the New York Spectacular. I guess between the two write-offs and the P&L amortizations; the Company has invested a lot of money in leverage in the Rockettes franchise beyond Christmas. And I was just wondering, given your comments about the shift in orientation or direction you’re taking with the New York Spectacular. What gives you confidence, it will be successful I guess with the next iteration of the franchise? And what level of commitment should we be expecting from the Company? And then I have got two follow-ups. Thanks.
Doc O'Connor: As we said in our prepared remarks, we think we have significant assets in Radio City Music Hall and the Rockettes. Radio City is unique, there is nothing like it in the world. The largest proscenium stage and the experience of Radio City is unlike anything in the world. And likewise, we think the Rockette’s unique, nothing like them in the world, there are a world renowned brand and audiences love seeing them perform. What gives us confidence is the fact that the Radio City Christmas Spectacular has been successful for 85 years. It’s an incredibly successful franchise year-after-year that delivers very important results to our bottom-line and fans audiences love and appreciate that show. And while we may be diverting course in terms of a second franchise, our previous iterations has proven that there is an audience for this show. And so we're playing with the formula because if you look at the value that's driven by the original franchise to be able to create a second franchise, could have tremendous impact and value to us and our shareholders over the long term.
Brian Goldberg: And then I guess sticking on the entertainment segment, I'll combine my last two questions I guess into one. I was wondering, are you guys able to breakout the revenue in AOI contribution from TAO and Boston Calling in the quarter? And then on Boston Calling, looking ahead, how does the show grow from here?
Doc O'Connor: I'll let Donna handle the first part of that question.
Donna Coleman: So our fourth quarter results include TAO Group revenue of $34 million. You'll find additional information on operating results in the Form 10-Q, which we're filing later today. But I mentioned this in my prepared remarks, it's important to keep a few things in mind; the operating results for TAO Group are reported on a one quarter lag basis. In addition, the results we're reflecting in our fourth quarter are not - don't have a full quarter of TAO Group revenue and AOI, but only a 7.5 week period from February 1st through March 26. Also, we've mentioned previously on this call that the second and fourth quarter calendar quarters for TAO are the strongest and by definition the first and third quarters are a little bit weaker. So those things need to be also taken into consideration as you review the financials. On Boston Calling, Boston Calling generated $16 million in revenue, and again you'll find some additional operating results detail in Form 10-K, which is being filed. As Doc mentioned, on some of the metrics, we delivered good attendance ticket per cap F&B and a great slate of marketing partners on that event.
Doc O'Connor: To the second part of your Boston Calling question. We look at Boston Calling this past year as pretty much an all new offering, it share the name of its previous iterations. But given the new location at Harvard and given the increased opportunities for attendance and content, we pretty much looked at it as a brand new offering. And they were very successful with this brand new offering. As Donna mentioned, we delivered really strong attendance, we delivered strong ticket sales and F&B per caps and we delivered a very robust slate of marketing partners. That said, we think that there is real possibilities for improvement of that specific event, which we are in the process of executing. And we think that this -- with this operating unit, Boston Calling Events and with the success of this specific event, we think that there are numerous opportunities to grow this asset and this operating group long term.
Operator: Your next question is from John Janedis with Jefferies.
John Janedis: Maybe two for me as well. First, you continued to add new residencies or multi-night series at your venues. You talked about Phish and Dave Chappelle. Can you just talk maybe a little bit more though about the how the economics for these productions compare to the more traditional concert business? And to what to extent is there capacity for this to be a growing trend, going forward?
Doc O'Connor: Well, first of all, when you talk about residencies you have to understand that residencies come in different forms. The two you referenced Phish and the Dave Chappelle shows, are residencies that sit down in their respective venues for consecutive shows over limited or condensed period of time. These are really efficient models, because first off, there is only one load-in and one load-out. And they are really efficient in terms of -- from a marketing standpoint as well. And they create truly, in our opinion, unique momentous even historic events. Both Phish and Chappelle this summer have created huge stirs in the New York marketplace and well beyond. They brought people from all over the country to witness these events. So we think they are advantageous from a financial standpoint from the regular touring shows that go through given marketplaces. I would also say that our Seinfeld and Billy Joel residencies are also unique and extremely popular and efficient and profitable events that helped to establish our venues brands in the marketplace. And they likewise are unique and momentous events in their own right, particularly with Billy Joel as we look forward to some numbers that will create news in their own right. So we’re extremely pleased with our residencies; they are highly marketable shows and they expand our base of events; they deliver great economics and advance our efforts and ability to improve utilization at our venues; and they are very important to our brands. I shared in our last call that we brought on board Darren Pfeffer from iHeartMedia to head our live business. And residencies are one of the important things that he is focused on. And he has been very effective an entrepreneurial in going about this, and we expect us to pay real dividends for us as we go forward. We have nothing specifically new to announce in that regard, but we are definitely and aggressively pursuing new residency opportunities.
John Janedis: And then maybe separately, I was hoping for a little more color on CLG. How do you think -- I know you touched on this. But how do you think about the opportunity to monetize, and whether be from a sponsorship or media rights perspective? And do you see other opportunities to expand your presence in esports out or maybe as a venue or team owner?
Doc O'Connor: Well, we just did expand our presence in esports with as a team owner by acquiring CLG. We're extremely excited about the CLG acquisition. I think its tremendous opportunity for us to partner with frankly one of the most successful organizations in this exploding industry. They bring top tier esport teams, a great brand in sport space, as well as millions of dedicated fans across multiple social media and online platforms. And we think our ability to monetize and grow and expand and create a long-term asset for our Company, the opportunities are robust. I think overall we think that esports is evolving more closely to resemble professional sports organizations and leagues like the once we own, the NBL and the NHL. And I think with this combination and this partnership with CLG, we're able to bring the expertise of decades of operating experience with those teams to this new space. That includes media rights where we have extensive experience and we think that we can help CLG effectively monetize those opportunities around both their live streaming content and other team related content. We think that we can bring marketing partnerships sponsorship expertise to CLG in ways that they haven’t really scratched the surface of. And we think that there is the opportunity to expose our existing partners, as well as new companies to this extremely valuable fan base. And thereby enable them aid them to meaningfully engage with a very difficult to reach illusive and differentiated demo. Likewise, in terms of live events, we have the venues and we have the ability to reach these fan bases, and we think we can leverage those assets as well to the benefit of both CLG and us. So generally speaking, we believe that no one understands these spaces better than we do. And in addition, we're going to be hiring additive resources at this company in terms of ahead of esports and we look forward to leveraging all of our resources to the advantage of CLG and MSG, and help to grow this evolving and exploding space.
Operator: Your next question comes from Amy Young from Macquarie.
Amy Young: So may be a couple of questions as well. Just following up on the New York Spectacular, I think Doc you mentioned there’s a shift in strategy. And I guess with the write-offs we assume that the show will return in 2018, and I guess any sense on the number of shows. And also it seems like you’re making lot of progress on the JV. Any updates on how Azoff is going? And then I have one for Donna. Thank you.
Doc O'Connor: On the New York Spectacular, we don’t have anything specific to share in terms of when a new show would debut or in terms of the number of shows, or how it would be structured. We’re deep in a process of examining all of those issues currently. And as soon as we are ready to announce something specific, we will do so. Switching to your Azoff question, I’m repeating things that I have said before. But Azoff and MSG remains a very important strategic partner to us across the board. And the individual units of Azoff are performing extremely well. The management business is strong and is growing; the music rights business is very strong and likewise growing; we’ve talk about OVG, Oak View Group and their success. And I think that you’re going to be hearing a lot more about that company, and we very much like the performance of those companies. So we are more bullish than ever about what’s happening under the umbrella Azoff. And we appreciate and benefit from that partnership.
Amy Young: And Donna, I think there is $270 million less in the buyback. You’ve been pretty active in previous quarters. I am just wondering how you’re thinking about it. And can you confirm whether or not you updated the 10b5 plan? Thank you.
Donna Coleman: Well, as you know, one of our priorities at the company to grow and to create long-term asset value for the shareholders. From time-to-time as we explore these opportunities, it’s prudent for us not to be buying back our stock. So while we didn’t be purchase stock in the fourth quarter, we are very committed to the remainder of the plan. We’ve repurchased $150 million this year than average price of $179 a share. You’re correct on your numbers; we have approximately $270 million left; I think we’re at $254 million year-to-date. And we’re going to continue to be opportunistic and pursue our repurchasing program. I can’t comment specifically on where we are with any filing though.
Operator: Thank you. Your next question is from David Karnovsky with J. P. Morgan.
David Karnovsky: On TAO, I know it’s very early on. But can you talk about any headway you’ve made in leveraging their expertise and hospitality across your own portfolio. And then secondly, I think today marks exactly one-year on your Townsquare investment; financially, this appears to have worked out nicely. But is there any update you can give us strategically on what you’ve done with them so far? Thanks.
Doc O'Connor: As I said in the prepared remarks, we are actively collaborating with our colleagues over at the TAO Group to mutually leverage our portfolios. I don't have anything specific to report in terms of any specific programs at this point other than to say what I said before, which is; we are packaging the TAO hospitality offerings along with our live event offerings in hospitality in new and innovative ways; and we're seeing real traction in the marketplace, which we hope to report on in the not too distant future. But there is a lot of traction and synergies with these collective assets. And we are being creative and entrepreneurial in how we offer them to a pretty robust marketplace. Moving onto your Townsquare question. We are a year into our relationship and we're pleased with our investments and we're pleased with our partnership. I have nothing specific to announce or no specific updates with respect to that partnership at this time. But we remain very pleased with our investment and our partnership.
Operator: Your next question comes from David Joyce with Evercore.
David Joyce: I wanted to drill down some more on the trends on the entertainment side of the venues. Given you had some strong revenue results there, even with some venues contributing less. Could you talk about the comparability of number of live events year-over-year and various venues; the attendance per event comparability at the venues; and any trends in approving event yield through more dynamic pricing of pricing higher in front of the house and less in the back to improve capacity? Thank you.
Doc O'Connor: Well, looking at your full year results, we had a great year in bookings; year-over-year increase in numbers of events; year over year increase in attendance in revenues and AOI. While our fourth quarter results were impacted by the timing of tours, I think our strong annual result clearly illustrate the fact that touring is important to artist, as well as audiences as fan bases. And we like the trends in live entertainment and we like how our new fiscal year is unfolding in terms of our live entertainment performance and we think it's a momentum that's going to continue on forward.
Operator: Thank you. Your final question comes from Brandon Ross with BTIG.
Brandon Ross: Just a housekeeping follow-up on CLG. What was the dollar expenditure there for that investment? Thanks.
Doc O'Connor: Well, we’re not going to get into the specifics in terms of the numbers with respect to our acquisition. But I will say, we think we acquired CLG at a very attractive valuation and structured a very well structured acquisition. And we think that it will generate real attractive returns and real long term value for our shareholders, and there is real opportunities for growth.
Operator: Thank you. That was our final question. And I will now return the floor to Ari Danes for any additional or closing remarks.
Ari Danes: Thank you for joining us. We look forward to speaking with you on our fiscal 2018 first quarter earnings call. Have a good day.